Joanna Kennedy: Good morning. Thank you for joining the call today to discuss Coca-Cola HBC's results for the first half of 2020. I am joined today by our CEO, Zoran Bogdanovic; and our CFO, Michalis Imellos. Zoran and Michalis will present our results to you. And following that, we will open up the floor to questions. As always, we will ask that you ask your questions one at a time and that you wait for us to answer each question before you ask the next one. Rest assured, we will keep your line open until we have answered all of your questions. Before we get started, I would like to remind everyone, this conference call contains various forward-looking statements. These should be considered in conjunction with the cautionary statements on the screen. This information can also be viewed in our press release issued today. Now let me turn the call over to Zoran.
Zoran Bogdanovic: Thank you, Joanna. Good morning, everyone, and thank you for joining the call for our first half 2020 results. Michalis and I are pleased to be able to give you an update on how the company has performed through this period, as well as how we are adapting the business to capitalize on the range of opportunities that we already see emerging. Some things have not changed since we spoke in May. Most important of this is our commitment to ensuring the safety of our people, customers, partners and communities. I'm proud of our record on that front. I'm also proud on how our teams have maintained business continuity through the crisis under challenging conditions and of how we have been able to support our communities, be it through volunteering our time, making financial contributions or providing products and protective equipment to those in need. It is incredible to see the resources that people draw from during times of crisis. We know that this doesn't come without sacrifice, and I'd like to offer sincere thanks to all of our people, as well as those working on the front line, serving their communities, who have all made such an extraordinary effort through this time. Through the efforts of our people, our supply chain has been fully operational every day since the start of the outbreak, and all our production facilities continue to be open. Our salespeople have been continuously serving our customers with our route to market, be it physical or digital, adopting to the environment. It has been particularly encouraging to see the performance on market share. We have gained or maintained share in sparkling and non-alcohol ready-to-drink in the majority of all markets. We see that share performance has improved notably in several of our markets during this period, and we will take this opportunity to maximize our advantage. What is clear is that Coca-Cola Hellenic is a well-positioned and resilient business, prepared to adopt and emerge to take on new opportunities. We entered this crisis from a position of strength in terms of our portfolio, market execution focus, our customer relationships, our partnership with the Coca-Cola Company and beyond. We have spent years building and investing behind the capabilities, which will power us through this period. These capabilities center around our expertise in managing our large key accounts, on big data and advanced analytics, around revenue growth management and route to market, which is increasingly omni-channel, blending both physical and digital connections to our customers and consumers. The crisis will have a temporary impact on our earnings and cash flow. But our strong balance sheet is more than adequate to see us through to the opportunities, which await. Importantly, our culture is an asset here. We all know the cliché about culture eating strategy. And I have to say now, having been through such a difficult period as the CEO of this business, I can confirm it, our culture of adaptability, which embraces change and challenge, will continue to be a crucial factor. When I see the speed and innovation of our response and how our people are genuinely caring for each other in this business, I know that we will be in a strong position to capitalize on the opportunities in the new normal. Also, our organization is dynamic and evolving, so that our structure follows our strategy and its execution. With an increasing number of external opportunities, the importance of ESG topics and regulatory agendas, as well as continuously driving high-performance and strengthening our talent pipeline, enlarging both the scope and pace of running our business is critical to better support our customers, outpace the competition and win in the market. In order to increase the organizational capacity and capability, to do exactly that and to drive faster business growth, we have created the role of Chief Operating Officer. Naya Kalogeraki, currently, our Group Chief Customer & Commercial Officer, will take up this new and critical role from next month. As you'll have seen in our release today, for the first half, currency-neutral revenues are down 14.7% year-on-year. If we split that period into the two quarters, you'll see Q1 was down 1.2% and Q2 down 25%. So you can clearly see the impact of the pandemic between the two quarters. But in reality, there are three quite distinct periods in this half year reporting period, and as we did at Q1, we are going to present you with the information, which we believe will give you the best understanding of both, our handling of the crisis and an up-to-date view of what we are seeing. Let me start by reminding you of the shape of the first six months of the year. We started 2020 with strong momentum, following good acceleration of growth at the end of 2019. We saw this strength continue in January and February. The month of March was a transition month, when, in waves, the countries in our territory entered lockdowns. So that by the start of April, every one of our countries, except Belarus, was in lockdown with a large negative impact on our revenues, which fell 36% in the month of April. During May, our market started taking their first tentative steps towards easing, and this process continued through June and the start of July. This easing has brought better results. We have seen our revenue improve sequentially from a decline of [Audio Gap] to a decline of 18% in June and 5% in July. Performance has been driven, in particular, by improving trends in the away-from-home channel, along with stronger sales in at-home channels. Now I want to urge some caution on how you think about these numbers when forecasting the rest of the year. There is still a great deal of uncertainty on the nature, duration, extent and effectiveness of social distancing and other measures as we emerge from the withdrawal of lockdown across our territories. We are planning for the continuation of safety and social distancing measures in all markets [Audio Gap] solution is widely implemented. We are also expecting a weaker consumer environment and the tourist season to be negatively impacted this year. And of course, there is still the risk of an impactful second wave of the virus. Overall, as you would expect, we are continually and very closely monitoring the evolving trends. However, at this stage, we still do not believe it is prudent to provide guidance for 2020. Drawing from experience across the broader Coca-Cola system, however, our current base case is that we have left the worst of the pandemic behind. Let me now dig a little deeper into those top line numbers to give you a better understanding of our performance during the period. First, on channel performance. This improved performance since the lows in April has been most notable in the out-of-home. While during the weeks of the lockdowns, we experienced volume declines of 70% to 90% in the out-of-home channel. During the months of May and June, this improved to declines of 25% to 50%. And during July, this has improved further with declines in the range of 10% to 40%. Our out-of-home business remains a key competitive advantage. We have remained by the side of our out-of-home customers through the crisis by helping them to build capabilities for operation in the new reality as they prepared and started to open. We have done this by providing equipment for new hygiene needs, supporting them in restarting their businesses, building trust with their consumers and managing traffic. Our ability to segment our customer's, means that we can do this efficiently, shifting our investment to the outlets, which will gain relevance. Overall, our partnership with these customers allows us to support their growth in short flawless execution and that we do not lose a single day of opportunity as they have started to open again. We have also seen improved performance in the at-home channel. While we had seen some customer destocking in April, we declined in the low teens that month since then, we have seen an improvement in trends reaching low single-digit declines in May and June, with a further improvement in July to mid single-digit growth. Shopper behavior, though, has continued to be cautious with weaker consumer sentiment versus the previous year in most of our markets. Proximity shops, e-commerce, and discounters continue to be the relative winners. Through all of this, we are pleased to see the resilience of the sparkling category. Overall, in the first half of 2020, we have seen sparkling volumes, excluding energy, decline by 4.5%. This resilience is visible across our markets as is the leadership of trademark Coke as consumers are drawn to tried and tested brands that they trust. Within all of this, the better relative performance of low- and no-sugar variant is also a consistent trend. Energy has done even better than sparkling, with volumes up 6.7% in the first half. And this trend is consistent across markets with all three segments in growth. The Stills part of our portfolio, however, has been weaker. This reflects the fact that, we over-index to the out-of-home channel in this part of the business. This fact, which is normally a strength, as it allows us to generate better revenue per case on water has negatively impacted performance during the lockdowns. We have also witnessed some weakness in the underlying water category after the March stock ups as well as increased competition as lower-priced players are growing. Selling high-value single-serve packages has been a priority at Coca-Cola HBC for many years. We have had a strong track record in improving single-serve mix. Single-serve mix is negatively impacted by the crisis, because these single-serve package formats are closely linked to out-of-home consumption occasions, which are not possible under lockdowns. Consequently, as out-of-home consumption has started recovering since April, so has package mix and therefore, price/mix, we expect this improvement to continue. However, improvement in package mix does not need to come only from out-of-home consumption. There is also an opportunity to increase penetration of these package types in the at-home channel and consumption occasions, which represents a premiumization opportunity for us. The habit of drinking single-serve at home, which is quite well advanced in some Western European markets and particularly in the U.S., is much more underdeveloped in Eastern Europe. We are focusing, in particular, on multi packs of single serves, which work for the at-home channel and in particular, for building on opportunities in the socializing and meals at-home occasions, which is where we are focusing our marketing and promotion plans. These packs are also well suited to the shopper who is focused on hygiene and have price points relative for smaller-sized baskets. This is one example of our revenue growth management capabilities being a critical growth catalyst. This, along with our new learnings, will allow us to adapt to the changing environment, getting the write-back at the right price for the consumer, while ensuring that we generate the best value possible from every case we sell. There are also going to be opportunities for premiumization around brands and products, such as Coke Energy in the premium part of the energy category or further expansion into Adult Sparkling. Affordability is also becoming more important. We have a lot of experience and capability at adjusting package sizes to meet important price points for the consumer, while maximizing our revenue. One key area of focus is on affordability in the entry-level package format in our markets. Over the previous years, we have expanded our offering of smaller, affordable yet high revenue per case multi-serve package formats, which allow us to reach critical price points in a margin-accretive way. Our strategy around promotion is another way in which we can manage affordability. By ensuring that we are investing promo spend on the brands and packs that matter the most, we can deliver affordability to the end consumer while furthering our commercial strategy. At a country level, performance is the second – in the second quarter has been heavily influenced by two main factors: first, the severity and length of the lockdown and the space of easing and the pace of easing of restrictions; second, the exposure of that country to the out-of-home channel. For our business, there are some clear themes between the segments. Most of our established markets locked down early and severely and have been cautious in easing. Also, as we shared at Q1, the majority of countries in this segment have more than 40% of their revenue from the out-of-home channel. In the first half, established markets' currency-neutral revenue declined by 21.1%, with the volumes down 19% and price/mix down 2.6%. Volume declines across the segment range from 12% to 25%, reflecting each individual market's out-of-home exposure and handling of the pandemic. Our developing segment as a whole derives less of its revenues from the out-of-home channel and some of the largest markets such as Poland and the Czech Republic had more contained outbreaks and shorter lockdowns which has supported performance. Overall, in the first half, developing currency-neutral revenue declined by 16.4%, with volumes down 8.9% and price/mix down 8.2%. Price/mix in the segment was impacted by the pack and channel mix deterioration and by the strategic decision we made before the outbreak to have less contribution to growth from pricing this year after several years of strong price/mix development. Our emerging segment has demonstrated the best performance in the group. This reflects both the relative resilience of Nigeria, which has continued to see growth despite the outbreak as well as strong market share performance and a lower contribution from the out-of-home channel in Russia. For the first half, the emerging segment saw currency neutral revenue decline by 8.4%, with volumes down 4.1% and price/mix down 4.5%, the latter being a reflection of the relative acceleration of Nigeria, whose revenue per case is lower than most countries in the segment. We have now launched Costa in the first six planned markets and while it's very early days, we are encouraged by the early customer feedback and enthusiasm for this high-quality coffee. We believe we are uniquely placed as a Coke bottler when it comes to coffee since we have benefited from the past experience of selling a full portfolio of coffee in several of our markets for the last three years. This experience and the capabilities that we have developed gives us the opportunity of targeting all channels across our markets with Costa Coffee with a range of product and package offerings, including whole beans, roast and ground coffee, coffee capsules, ready-to-drink coffee, and vending Barista quality coffee via Costa Express machines. We have started with these launches primarily in the out-of-home channel. But in the future, will proceed to roll out Costa Coffee in the out-of-home channel also. It's clear that innovation remains central to strategy at CCH and in the Coca-Cola system. However, we are also being very mindful of the current environment, and so in some cases, we have decided to postpone launches until conditions are more favorable. But in others, where they are highly relevant, we have moved ahead. This approach also meets our customers' current focus on faster rotating products. Costa is a very good example of a launch that is highly relevant in this environment as well as our continued expansion of our Adult Sparkling propositions, most recently in Russia and Italy. And of course, our launches of relevant package formats to suit new consumer occasions emerging these days. Going forward, acting on our learnings and in full alignment with the Coca-Cola Company, we will adopt a more disciplined approach to innovation, investing behind winning, scalable innovations while also eliminating underperforming and unprofitable brands and SKUs. ESG has, if anything, become even more important in light of the coronavirus pandemic. We are proud of our record here and that our work is also recognized by strong ratings on the major benchmarks. However, we must and we will continue to push for progress in this area. This means working with real purpose and intention towards meeting our world without waste and climate change commitments and being as accountable on the delivery of our sustainability targets as we are on our financial ones. It is also an area on which I'm going to personally be spending more time in the future. Thank you for your attention. And I'm now going to hand over to Michalis, who will cover our financials in more details.
Michalis Imellos: Thank you, Zoran. Hello, everyone. In line with our practice, unless specifically stated, I will refer to comparable figures, which exclude the impact of restructuring costs, the mark-to-market valuation impact of commodity hedges and specific non-recurring items. Before I start with the financials, I would like to draw your attention on two technical factors that impact the year-on-year like-for-like volume and revenue performance and should help you with the understanding of our results and your modeling for the rest of the year. You can also see further disclosures on this in our press release published today in Notes 1 and 16. First, an accounting change. Effective from early May this year, we adjusted the accounting treatment of our Russian juice business due to a legal entity restructuring that took place. While previously, this business was accounted for as a joint operation, it will now be considered as a joint venture leading to a different consolidation methodology that will no longer recognize the financials of this business in the group P&L, except for our share in its net profit as one line in our P&L above EBIT. Without this accounting change, that is on a like-for-like basis with the first half of last year, the first half volume and currency-neutral revenue growth would have been 80 basis points higher compared to the figures reported in this release. As you see on the slide, this accounting change will have an even bigger impact on top line in the second half of the year, as it will apply on the full six months of the period. As you can also see, the impact on EBIT is not material. Second, the acquisition of Bambi in late June last year benefited our first half volume and currency-neutral revenue growth by 130 basis points. Clearly, effective from July this year, we are cycling the full consolidation of the Bambi business in our results, and therefore, there is no impact on the organic performance. So, taking into account the two factors I explained earlier, on a like-for-like basis, the organic currency-neutral revenue declined by 15.1% and volumes by 9.7%. For the first half, on a reported basis, we saw currency-neutral revenues down 14.7% as volumes declined by 9.2%, and price/mix was down by 6.1% year-on-year. The impact of foreign exchange translation on revenues was negative by 70 basis points, driven mostly by unfavorable movements of the Russian ruble, which resulted in a reported revenue decline of 15.5%. We have taken advantage of every opportunity to control our cost base. The work done after the financial crisis to make our cost base more variable, has helped us to mitigate the impact of the volume deleverage. Careful management of commodity costs, combined with the hedging of the majority of our transactional ForEx exposure and the low oil price backdrop have allowed us to benefit from lower input costs, especially on PET regime, while preserving our cost of goods sold from ForEx volatility. As a result of this, currency-neutral input cost per case was down by 8.1% in the first half of the year. When it comes to ForEx, we had a €15 million currency headwind to our EBIT from currency depreciation. This ForEx impact is mainly associated with the weakening of the Russian ruble versus the U.S. dollar. Our gross profit margin closed flat year-over-year, but this performance is positively influenced by the year-on-year reclassification of certain raw materials credit settlements, which helped margins by 80 basis points. This change had no impact on absolute gross profit or EBIT for the first half. For the rest of the year and given our hedge positions, we continue to expect that the negative impact of currencies when netted with the significant gains from lower commodity costs leaves us close to our original expectations for the year. Moving to OpEx, as you know, we acted immediately to make significant cuts to discretionary expenditure finding €100 million of cost savings in 2020 versus our original plans by reducing marketing, seasonal labor, consultancy and contracted services, travel, meetings and events and by putting in place a general recruitment freeze. This quick action has helped us to control OpEx, which declined by 7.8% compared to the prior year period. Considering that volumes declined by 9.2%, this is an excellent demonstration of how we were able to absorb a significant part of the volume deleverage impact. As explained earlier by Zoran, volume, package and channel mix deterioration were the three most impactful factors of revenue deleverage, which drove comparable EBIT down 35.8% and comparable EBIT margins down 230 basis points to 7.4%. Financing cost increased by €3.3 million compared to the prior year period due to higher overall gross debt on the back of last year's successful refinancing. Free cash flow was an outflow of €38.5 million in the first half, in line with our expectations and revised plans. Lower operational profitability as well as a deterioration in working capital as a result of lower payables outstripping improvements in inventory and receivables balances, drove free cash flows down, which was partly offset by a reduction in capital expenditure of €19.3 million. While we have reduced CapEx, we continue to support and invest in the business for the long-term as the majority of this reduction is more of a deferral than a cut in nature. We are also pleased to see our working capital days improving by just under three days in the first half on a like-for-like basis, pointing to a healthy underlying working capital management amid the crisis. The second half of the year is seasonally stronger than the first in terms of free cash flow generation. That said we expect this year's free cash flow to decline faster than the operating profit year-on-year, driven also by the deterioration in the working capital balance, partly offset by this year's reduced CapEx. Our solid balance sheet and available liquidity leave us well-positioned for any range of scenarios for the rest of the year and into 2021. Turning now to the key financial drivers on a segmental basis, Zoran has already described the top line impacts. So let me focus my comments here on margins. In our established markets, comparable EBIT declined by 56.1% with comparable EBIT margin declining by 410 basis points. The main driver of this was negative operating leverage, given the revenue declines. In developing markets, comparable EBIT declined by 65% and comparable EBIT margin declined by 480 basis points to 3.7%. The larger margin decline in the developing segment compared to the established segment is due to the larger decline in price/mix seen in this segment for the reasons described earlier. Price/mix declines has approximately three times more adverse impact on margins compared to that from volume declines. The emerging markets comparable EBIT declined by 11.1% and comparable EBIT margin declined by 10 basis points to 10.6%; the net impact of the Bambi acquisition, the accounting change at Multon, and the raw materials credit settlement year-on-year reclassification account for 240 basis points of favorable impact. Let me also provide you with an update on our balance sheet. Our net cash position at the end of July stands at €1 billion. This is after meeting the last €563 million repayment for our 2020 bond maturity as well as paying out the €0.62 per share ordinary dividend in July. As you may remember, we raised additional debt in 2019 at attractive rates. This has allowed our balance sheet to be a key enabler as we entered the crisis. And our balance sheet continues to be strong. We have over €700 million of our commercial paper facility unutilized as well as the untapped €800 million revolving credit facility in place. Our next bond maturity is not until November 2024, and our expectation is for another year of solid positive free cash flow generation, albeit significantly below our business as usual, annual levels. As the case has always been, we have no financial covenants that would impact our liquidity or access to capital. In short, our balance sheet and available liquidity will continue to allow us to manage our way through the crisis, while investing appropriately in the business. With that, I will now hand over to the operator, and Zoran and I will be happy to take your questions.
Operator: Thank you. [Operator Instructions] And the first question comes from the line of Richard Felton from Goldman Sachs. Please go ahead. 
Richard Felton: Thanks, good morning. My first question is on the €61 million of cost savings delivered in H1. Now I understand a lot of those costs have come from discretionary items like marketing, travel, et cetera, but has the experience over the last few months helped you identify any areas where you can be more efficient going forwards? And are any of those cost savings likely to be recurring in nature, or will just benefit FY 2020? That's my first question.
Michalis Imellos: Hi, Richard, maybe if I start and Zoran can jump in also. Out of this €61 million in the first half, around 70% was coming from marketing expenses, which we curtailed pretty much in line with the top line weakness that we saw. And the rest was coming from a variety of items, travel, meetings, events, consulting, training and so on and so forth. Certainly what the crisis has proven to us is that on one hand when it comes to the marketing working together with The Coca-Cola Company, we can prioritize how we spend and invest in the market behind the top line activities. So prioritization of promo – promotional spend over DME is one of our objectives also going forwards. And of course, continually monitoring the situation to ensure that we are very quick to react as the market progresses with the recovery phases. Now when it comes to the discretionary costs some of it is obviously the direct result of the curtailed activity, thinking of travel, meetings, events and so on and the fact that there has been quite a bit of an impact from the periods of lockdowns. Having said that, there are a number of areas that we are looking into, especially as the COVID outbreak has changed the way that consumer habits are progressing, or the way that we do business. And we will be looking at all these different areas, be it, route to market, be it digital acceleration on our back office processes, or in the way that our frontline operates.  In also revenue growth management in order to adapt our offerings to the changing consumer habits. So there are a number of areas which we are looking, in order to see how permanent changes in the way that we operate in a more efficient way can be embedded for the second half, but more importantly for 2021 onwards.
Zoran Bogdanovic: And Richard, if I can just add to build on Michalis' answer, yes, these couple of months instead of doing this as a simulation, but as a real life situation, this really showed that not everything matters the same. Some things are more critical than less and these are extremely valuable learnings that going forwards we prioritize better investment on every euro we spend. Also, another learning is that leveraging technology across the business, even during these times we've been installing new fresh lines where suppliers and the crew could not come and we've seen very well how remotely even this can be done, where our people with guidance – remote guidance from the suppliers, the technical crew have been able to finish installations and start – again commission the lines. So definitely this will help us going forward to be wiser and smarter in how we are investing both our CapEx as well as OpEx. Thank you. 
Richard Felton: Great thank you. My next question is a slightly broader one. So through the second half and into FY 2021 as the world emerges from the current situation and lockdowns are eased and things are returned to a more normal situation, I suppose there is still a great deal of uncertainty from a macroeconomic perspective. Soft drinks is a fairly defensive category, but your business is exposed to the on trade markets which rely our tourism and oil exporting economies, which adds a bit more cyclicality to your operations.  I was hoping you could comment on where you see the most cyclicality in your business and compare how well your business is prepared today to deal with those challenges compared to the last financial crisis in Europe which was a challenging period for CCH? Thank you. 
Zoran Bogdanovic: Indeed, Richard it's a broader question. One advantage here is that the territories and the breadth of different types of markets usually helps us that we kind of naturally hedge different cyclical trends that happen sometimes between the countries. Of course COVID was something that impacted everyone, however, even in this situation we've seen that different types and clusters of markets have been reacting differently, depending on the nature and strictness of the measures, the lockdowns and the way – how fast measures have been eased and also the correlation of the out of stock – sorry, out of home customers which contribute to our revenue.  Even in situations where this year, we've seen also this kind of rollercoaster with oil prices on top of the COVID, we see that our key Emerging markets of Russia and Nigeria are actually the best performing markets, with different structural levels – what those countries are and how trade is. However, I think this comes as a result of that fact that many factors are coming together of what we've been doing over the last quarters and years and that that is giving the results, as I think highlighted – that we already saw very strong performance in June from Nigeria, even stronger one in July and the start of August has been along these lines. Similar in Russia, we have seen a very strong performance in July and similarly it continues in August. On the other side, it's reasonable and we see that it is kind of expected that those clusters of markets which are correlated strongly to tourism, like Croatia, Greece, as strong sea destinations are heavily impacted by a very limited touristic season that we will be seeing this year.  Equally other strong touristic markets like Switzerland and Austria, which are not sea destinations but are strong touristic summer destinations, they also feel the lack of international tourists. It goes without saying that the same goes for Italy, where it is expected that this year only 15% to 20% of international tourists, versus last year, will be visiting. And that is going to have a visible impact on Italy. So this is, in a nutshell, I would say different drivers for different types of markets. And I'll pause here Richard just to see if I'm getting on the right track in answering your question?
Richard Felton: That's very helpful. Thank you.
Operator: Thank you, the next question comes from the line of Edward Mundy from Jefferies. Please go ahead.
Edward Mundy: Hi Zoran and Michalis. Going back to slide 5, there was a pretty big sequential improvement between June and July, are you able to share what the volumes and revenues per case were for July relative to June? And based on what you're seeing, do you expect further improvements versus the minus five in July, or do you think it's a reasonable proxy for the second half?
Zoran Bogdanovic: Hi Ed, I'll start and then Michalis please jump in if there's anything from your end. So, as I said in my introductory remarks, we do see that this improvement should continue because there is a clear correlation with number of outlets which are slowly more and more opening and that opens up our single serve and small packs being ordered and consumed more. So, as you see in Q1, I think that's kind of a good reminder of Q1, we've been on FX neutral revenue minus 1, 1.2, Q2 minus 25, July minus five and then what we see now is that this kind of gradual recovery trend is continuing in the start of August. We do expect that FX neutral price mix will continue improving. You've seen the Q2 was around minus 7.7, July has been very low negative single digits and our expectation is that, it will continue slightly improvement, probably still staying possibly in a negative territory, but better than what we've seen -- definitely in June and July.
Edward Mundy: Thank you. My next question is, I think you mentioned in the opening remarks in the presentation about the opportunity to push single serves at home where it's relatively undeveloped in Eastern Europe relative to Western Europe and also the U.S. Can you provide a bit more context to frame that opportunity, I mean what proportion for instance is single serve at home in your markets relative to let's say a benchmark you're aiming for?
Zoran Bogdanovic: Look, I can say Ed from our end that let's say in the first half of '20, the proportion of single serves in the at home channel is 29%; let's say 29%, 30%. I don't know from the top of my head what would be those numbers for the U.S., but I know from experience that this type of percentage, even in Western Europe markets, in our case for example in Switzerland this would be definitely higher even being -- it could be between 40%, 50%. Even in Greece, I think that our percentage over there must be around 50%. So this just indicates that there is a huge opportunity. We do see that gradually year by year, as we are improving our single serve mix, making the habit of using multi packs of single serves for in home consumption is definitely one of the key drivers of how we are driving this strategic goal forward. So this just indicates that there is still lots of room ahead. And that is why we highlighted this as also the premiumisation opportunity. And if COVID brought anything, it brought more occasions which are happening at home. And we do believe that single serve packages in nature are better suited to fit those various occasions which are happening at home. And this is further amplified also by further hygienic connotations that consumers have these days as single serve packs are probably -- for sure providing better this, you know, one contact versus multi serves in the way they are consumed.
Edward Mundy: Thank you. And then my final question, you put a slide in there around ESG, I'm aware that the European Council is proposing a tax in countries based on the weight of non-recycled plastic packaging waste from the beginning of next year. I was wondering if you could provide a bit of an update on what that means for your business?
Zoran Bogdanovic: Yes, we are fully following that individually, but also as a part of the European Soft Drinks Association that we are a very active part of. Also, myself and our Group Public Affairs and Communications Director, we have been in March in Brussels where we had very constructive and useful meetings with the EU Commission Representatives. And plastics has been also a key topic where we are -- this is the combination of the things where we are getting our business ready for anything that may come. We do know already some of the things that are coming in a couple of years in terms of single use plastic, we are getting ready. So that's why already this year and starting at the end of last year and this year, we have accelerated the elimination of plastics from our packaging, so that we go into carton. Also increasing the percentage of the RPET, we also started with certain and several brands have started in Water where we are have packages which are 100% from RPET. We are, in all the countries, actively working and really have a leading or co-leading role in steering our Associations to work with government on the collection system, because that's the ultimate and real solution that in every country, the collection and circular economy needs to work. Now, when it comes to any possible additional levy that can come our way, and we know that probably, it may come in some cases, we are fully ready with our revenue growth management capability. Whether that's -- we have seen examples before because of the sugar tax, we know that in that way we are adjusting in the best possible way, our pack price architecture as well as the whole promo marketing and on top of that, that any such levy as always, we, and I believe majority, if not all players will be passing on through their price. And that's I think, very acceptable and reasonable way to do.
Edward Mundy: Thank you.
Operator: Thank you. Next question comes from the line of Sanjeet Aujla from Crédit Suisse. Please go ahead.
Sanjeet Aujla: Hi, Zoran. Hi, Alicia. A couple of questions from me, please. Firstly, I appreciate you've -- you're not reinstating guidance, but I think last year, you came out with a vision to grow the business 5%, 6% in the long-term. Are there any changes in consumer behavior which might be more permanent in the new normal that would contradict that sort of long-term growth ambition? That's my first question. And secondly, can you just elaborate on the sort of market share trends? You talked about gaining and/or sustaining share in most of your markets. But have you seen any particular acceleration in share improvement? And if so, where? And on the flip side, have you seen any markets where your share trends have deteriorated? And the reasons for that, please.
Zoran Bogdanovic: Thank you, Sanjeet. On the consumer behavior and the context of our long-term strategy, let me first say that even during this very challenging couple of last months, our strategic framework that we have laid out last year, we find it more relevant than ever. What kind of gets adjusted and adopted is the nature and type of initiatives that fit into each pillar of our strategy. And that's what -- as soon as we have sorted our business for managing the outbreak for now, for every single day, we have already invested a number of our team members behind prioritized key initiatives that all relate for what's coming tomorrow. And that came as a result of our reading, what consumer behavior trends are coming our way as well as what retail landscape changes we see also ahead of us. I would just say that, first of all, subject to finding a proper solution to manage and contain this crisis, pharmaceutical solution or whatever that is, that really puts all of us out of the woods from this coronavirus. We firmly believe that what we have been presenting as our ambition and aspiration is a valid algorithm. But as I said, that's subject to us getting out of this pandemic.  And consumer behavior trends, I'll just briefly highlight that there is evident shift to online shopping, where -- for which we are accelerating, and we have pressed the pedal for our B2B and B2C platforms. It's also clear that consumer is searching for more affordability. That's why in our revenue growth management, it is not only about premiumization, but equally and in a balanced way, it is debt. Also providing more affordability solution being through package types or through different type of promotions. And that's already embedded in our rest of the year plans as well as thinking for going forward. What came out clearly is that huge new occasion is out-of-home consumption, which is happening at-home because it's not only now meals at-home, which we always had, but it is socializing at-home. It's screen time at-home, it's more partying and socializing at-home and it's grilling at-home. So we also had a stream, which dealt with that and to get us ready within our RGM for the future. Also how do we adjust our packages and way of working also with customers because of more hygiene and sanitation, and also, we want to leverage on the fact, and together with Coca-Cola Company, we have been started, I think, really quality work on the portfolio optimization. Because it's evident that there is a shift towards tried and tested brands. And this gives us also the input to prioritize better, which brands and packs we keep and actually leverage more going forward and also make quicker and bolder decisions what needs to be stopped.  Sanjeet, it's also clear that some of the HoReCa outlets will not survive. But we believe that kind of a composition is going to get a little bit adjusted. But I have no doubt that HoReCa in the end will prevail, maybe with a smaller number in the first phase or in the first couple of years. But we are sticking to customers and providing multi-angle support of -- and getting through this crisis with them. So in summary, I really see that the framework with a proper relevant initiatives on which we already started work, are giving me huge confidence that we are tapping exactly into the things that are critical for the future and the new normal, whatever that will be. But that's why by mentioning these few key trends, I think they are clearly highlighting direction in which we are going behind which we are redeploying our resources and investments.  Related to share, indeed, as I said, in majority or on majority markets, we are gaining or maintaining share. That means that I can say like in introductory remarks, I said for Russia, where we are gaining share in Italy, in Poland, in Romania, in Greece. So really, I'm glad to say that it's a minority of markets where we are not gaining share and where we have redefined plans as a response to mitigate whatever the corresponding situation in the country is. But we do see that in some cases, we are really talking about even more than a full share point gains, which I would say are coming as a result of a very conscious decision while we invested less. But I truly believe, together with Coca-Cola Company team, we quickly adjusted type of messaging and nature of what we are doing in the first month, focusing more on the shop floor, and then also starting to do type of communication that really matters in these times. And I am quite optimistic and confident with the rest of the year, with a couple of marketing campaigns that are starting as we speak from The Coca-Cola Company, I think that they will really hit the right tone, addressing the need of the community of HoReCa, of customers who really need traffic and who need the encouragement from consumers to do more of that. So I'm concluding there, if you have any more questions on the share please let me know. 
Sanjeet Aujla: Very good. Thank you, Zoran. 
Operator: Thank you. The next question comes from the line of Simon Hales from Citi. Please go ahead.
Simon Hales: Thank you. Hi, Zoran. Hi, Michalis. I've got three questions, please. The first one is around just the exit trading run rate. I mean, you talked about FX neutral revenue in July clearly being only down 5%. Are you able just to break that down by the different divisions, between Established, Developing and Emerging Markets? That's the first question, please.
Michalis Imellos: Yeah, let me say this. Simon, first of all, just to say that the minus five is as per the new, let's say, reporting rules with the accounting change of Multon. In fact, if you take it on a like- for-like basis, we would be low single digit down, so better than that. Now, looking at the performance in the three segments, I would say that the Established has come out on a high single digit decline. Mind you, we are cycling a strong July last year in terms of revenue, 5% for Established. So that performance, I think, it's pretty good, and it confirms the strong sequential improvement from quarter two. Developing and Emerging have fared even better. In fact, we have low single digit decline, and that is despite the fact that Emerging was cycling a 7% growth last year. So, very good improvement across the three segments. So, splitting it also between volume and revenue per case, just as a total, low single digit declines in both volume and revenue per case, so also both in terms of volume and revenue per case, strong improvement from the quarter two trends.
Simon Hales: Got it. That’s very clear. Secondly, I just want to ask a little bit about Costa. I appreciate it's very early days, but I wonder if you could say anything about the initial consumer reaction you'd seen as you've started the rollout there, and how will you, and how should we look to try to judge the performance of that rollout over the next six to 12 months? What internal targets or benchmarks are you looking to hit? Is there anything you can share with us there?
Zoran Bogdanovic: Yeah, Simon. Look, in short, I'm really happy to say that initial reaction is excellent and very encouraging. Now, anyone would probably want to say that when they launched something new, but truly I'm so happy that we are hearing excellent feedback from customers, because our own internal belief in this category is tremendous, and this coffee is a high quality coffee. So, if you blend a high quality product in excellent packaging, you merge that with an experience and capable team, and as I said over the last three years, we were able to ramp up that capability, I think really that puts us in a very good position to do a high quality job ahead of us. And that’s why our markets, sequentially, are starting. I said, in the introductory remarks six, even to date we are already I think seven or eight, and there is going to be another five by the end of the year. And we will continue, eventually, with the ambition that we have Costa in all of our markets. And I just want to highlight, maybe, sometimes people, maybe, don't pick that up, that this is not about ready-to-drink coffee. This is us being in all possible channels because -- with Costa home packages, that you can buy in the retail shops, and we have capsules and vending machines, unique ones from Costa, and going also to HoReCa with beans packages. So, that's another important element. So, in this first phase, we are focused not on necessarily chasing more volume, but it's very important that there is a high quality approach opening the customers with the right packs and with the right prices. So that, right from the beginning, this is positioned as it should be in terms of the price points and that this high quality coffee deserves. That's why opening strategic accounts, making conversions of customers who are willing, so, penetration of the product, getting it to as many customers as possible, but in the right way is the most important. And if we do that right, I have no doubts that we will be able to come, let's say, by the end of the second year at the latest to the level where we have been with coffee after three years, for the last three years, as you know, that we had a previous coffee solution from, which we exited because of the on-boarding and doing this with The Coca-Cola Company for Costa.
Simon Hales: That's very clear. And then just finally, I mean, you talked earlier about maybe pressing the pedal a little bit harder around e-commerce, what have seen through Q2 both in the B2B business, as well as, obviously, there's a B2C business you've go in markets all over Switzerland, and how do we think about, I suppose, the development of that for those two areas going forward, and I suppose perhaps more on the B2C area where there's probably even greater potential, and new areas to draw out into?
Zoran Bogdanovic: Yeah. Look, I think that's the hot topic from this crisis, and I'm really happy that we already had a number of tools that have helped us to quickly react during the crisis. So, first of all, most basic and most importantly, is that our own customer ordering platform, B2B hybrids that we immediately leveraged. So be it countries that already were quite solid in terms of percentage of orders like Czech, like Switzerland or now all countries have been using this to direct more customer orders through that platform. Overall, this is still on a fairly low levels, but it is evident that this trend got boosted through this crisis. Also, we worked very closely with our wholesalers who, during these months, had spare capacity and really needed business. So we helped them to ramp -- to start their own sites, so they can offer direct-to-consumer ordering and deliveries. We also have our own D2C platform called Qwell in Switzerland, which is for -- really for home and office delivery that works perfectly well. And we actually saw through this crisis, relevance of that, and that's why we are fueling more investments to make it even stronger and better in Switzerland and possibly in the future also for some other markets. We also, with -- together with Coca-Cola Company, are looking into certain platforms that, as we speak, we are finalizing and doing preparations for the rollout in several of the markets that will be visible in the coming months. I can also mention our readiness to invest even during these times. In Austria, in Vienna, we have invested in the start-up called Adverity, which is online store that delivers within 60 minutes. And we've done that in the last couple of months. And that also demonstrates our recognition and commitment behind this type of solutions, behind which we are very keen and committed to invest more. So these are just a couple of examples when it comes to B2B and B2C that I can mention.
Simon Hales: That’s very useful. Thanks for the questions.
Operator: Thank you. The next question comes from the line of Fintan Ryan from JPMorgan. Please go ahead. 
Fintan Ryan: Good morning, Zoran. Good morning, Michalis. Two questions from me, please. Firstly, just -- and following on from earlier question-answer the -- your mid -- view of the midterm outlook. Clearly, I know you don't have a crystal ball. But as we look into 2021 given that the 2020 -- the prior 2020 guidance had been for an 11% EBIT margin in 2020. As you look into 2021, is there anything that would prevent from seizing that initial 11% margin as the guide for a starting point or as we think about 2021? And related to that, is there anything we should be thinking about as well in terms of raw materials or input cost inflation for the second half and into 2021?
Zoran Bogdanovic: Michalis, do you want to go ahead, please, and then I'll see if I have anything to add?
Michalis Imellos: Yes. So Fintan, it's very, very early days, a lot of uncertainty ahead. And we can only talk about scenarios right now rather than a more clear path. If I start with the more easy part of your question, when it comes to ForEx and input cost, even though it is early days. We feel that next year, we are looking at another year of ForEx adverse impact, nothing though that is going to cause concern, I would say, for our normal levels of ForEx depreciation overall. When it comes to input costs, we expect that the base commodities, so talking about sugar, PET and aluminum will give us potential, it's something between low to mid single-digit increase next year on the back of an extremely good year this year. And then depending on how coffee and spirits play next year in terms of growth that might go even higher because, obviously, coffee and spirits have got a higher contribution when it comes to input cost per case because we buy them as finished goods. So that's the dynamic on the ForEx and the input cost. As I said, very early days now to look at the algorithm for next year. We have to wait and see how, first of all, things will pan out this year and how, overall, the outcome and the scenarios with the pandemic will be. But I wouldn't really think that it's out of reach to head back towards the 11% margins at some point that of next year or 2022, early 2022. So I think that, that can be within reach, depending on the type of scenario that will come along.
Fintan Ryan: Thank you. That's very clear. And the second question is a brief one, just the Coca-Cola Company has recently there has been news reports, the Coca-Cola Company is looking to launch a -- one of their own high sources behind the sparkling water brand, I think starting in Latin America. Is that something that you might consider? I know you do have the spirits retail market currently, but would you consider launching your own alcoholic RTD product either under a Coca-Cola brand or your own brand within your markets?
Zoran Bogdanovic: Hi, Fintan. Yes, we've seen that. And personally, I think that's a very good news, as I think that really goes hand-in-hand with consumer habits and preferences. And I think that just demonstrates the sensitivity of the Coca-Cola Company team to listen to see their consumer trends. And in short, to answer your question, yes, when the time comes, we are fully open and ready and keen, and we could see the relevance in a number of our markets. And whenever the time we'll be ready, and that will depend on Coca-Cola Company team and us discussing that and agreeing, I'm sure we will be doing so. But from our end, yes, we are keen and ready.
Fintan Ryan: Thank you very much.
Operator: Thank you. The next question comes from the line of Alicia Forry from Investec. Please go ahead. 
Alicia Forry: Hi, Zoran and Michalis. My first question is also on the Coca-Cola Company, which has said it's going to prune some of its tail brands. I just wonder what this might mean for CCH?
Zoran Bogdanovic: Hi, Alicia. So yes, I made a couple of remarks, and thank you for the question to just make this point clear. I want to highlight right at the beginning that we are fully onboard and aligned with the Coca-Cola Company team for the need to be more choiceful and to be more selective and to prioritize where we -- what we want to leave and where we want to invest more. And I think that benefit of this crisis has been also that we got -- we are getting more disciplined and bolder in recognizing what does not deserve to stay in the portfolio, whether because there is not enough scale or we are not gaining that right to win that is required for certain product types and that they deliver on their purpose of getting scale and share or more consumers or also that certain packs or brands are not sufficiently profitable. So I can say that we are fully onboard and very eager that we actually continue working on that together. I say continue because we have already started that work. And I think that only better results and better shareholder returns can come from that.
Alicia Forry: Great. And then my second question is on Nigeria, which is quite strong. And I hear what you say about previous years of investment is now paying off. But it really is quite unusually strong in the context of consumer companies, even those that sell very basic household essentials are under significant pressure in that market. So I'm just really curious, if you can just elaborate on whether this strengths that you're seeing in Nigeria is truly sustainable in light of the significant pressure on the consumers there?
Zoran Bogdanovic: Yes. Look, first of all, our belief in Nigeria is as high as it can be because this is a market of tremendous potential. And that's why we are in a very tangible way, investing in the country every single year. Also this year, even in spite of the pandemic, we are proceeding with several new lines. As we speak, literally a few weeks ago, we just finished and commissioned and started with commercial production of our brand-new Kinley. So we are increasing capacity because this country irrespective of its kind of a rollercoaster of macro, political, etcetera. However, there is evident trend that our direction that this country is getting unfortunately, slower than we wanted, but in the right direction. So that's why when you see that growing population, how young that population is, per capita in the country. They are receptiveness to innovation, how digitally they are connected. So that's why as a blend of many things of focus on sparkling is our top priority. We have there also a situation that all other categories are actually -- with exception at the moment of water. But juices are flying. Energy is flying. This comes in combination with the fact that, Nigeria has been our market where we actually piloted and started our top strategic initiatives for the whole Hellenic. Example is that, it was the first market where we started with our renewed revenue growth management framework, as we call it RGM 2.0. Then when we started with Big Data, advanced analytics, that was also the market where we started first, because based on that, we immediately have done first use case, which is segmented execution. When you do that, that further informs RGM. So -- then on top of that, we have done significant work on route to market in Nigeria, which especially during this last tough months has proven to be invaluable because it gives us the reach and connectivity to customers and end outlets like no one else. And that only gave us the encouragement that this blend of the integrated execution, which is a Big Data, advanced analytics, revenue growth management, segmented execution that all that is coming nicely as the mosaic together. And when you combine that with constantly improving, more capable supply chain that we have done in Nigeria, I mean, the work that has been done over the last few years, ramping up capacity, modernizing lines. When you see how our facilities look like there and type of lines, if you go there, you could imagine you are in any European country. And that only reflects our reading and belief that Nigeria is going to do that. So that's why I'm very encouraged to see that after the lockdown that happened in April and kind of a little bit in May, but Nigeria returned back to growth in June and even stronger in July, and my reading is that also August, and for that matter, rest of the year is going to be strong. Of course, there is always kind of a risk there of something happening in Nigeria. But I rather see that as kind of a short, temporary, sometimes kind of disturbances, but that cannot and will not eliminate the path on which Nigeria as a country and market is.
Alicia Forry: Thank you.
Zoran Bogdanovic: Welcome.
Operator: The next question comes from the line of Stephan Derkash [ph] from Millennium Capital Partners. Please go ahead.
Unidentified Analyst: Hi good morning guys and congrats on the good quarter. Just maybe two questions for me. The July minus mid single-digit rate that you've been mentioning and then ex the accounting change, low single-digit. Could we expect, given the run rate and the further improvement in August that you would be back to growth during the quarter given the trajectory on where you were and where you are right now? And second, I mean you cannot reinstate guidance at this stage, well understood. But in light of your run rate, can you tell us maybe how you feel about the consensus numbers at the moment? I think Q3 consensus looking for revenues down almost 10%, and you're talking about mid single-digit decline only in July. So how do you feel about the full year number? And did you see any -- maybe last question in terms of like a trial. Did you see any part of your portfolio that is somehow being regenerated, or are you seeing some trial and repeat from the consumers and what you could imagine that this changed the run rate of growth you're seeing in some part of the portfolio that were maybe previously underperforming? Thank you.
Zoran Bogdanovic: I'll start with a remark on August and Michalis will do part on the consensus and then I can cover the last one. So for the August in short, I did mention that August started quite well. We are in the positive trajectory. Better than July. Even now one week, doesn't make the full month. However, from the reading that we have, I personally believe that August should be a solid month, a positive month versus last year, which will be a further continuation of this gradual improvement that we have been seeing over the last few months. Of course, this is subject to nothing dramatic happening. In terms of a number of countries suddenly getting into sizable measures, which we don't see at the moment. While we see that, there will be gradually probably some more, but nothing that would probably prevent August from being a better month than July. I can actually build here to say and then Michalis on the consensus just to say that what we've said, two best-performing categories are sparkling and energy. And we do see that sparkling, which proved its resilience in the toughest month, having the smallest decline equally, when you see in June, sparkling has been minus 4.5%. In July, already, it's been plus 4.6%. And August, even started stronger than that. So that's very encouraging. And I think that speaks to the potential of this category, not only for these months, these quarters, but for many years ahead. Also energy, a very important category that proves its resilience. We love the category, because consumers want it. It fits a number of occasions, and we have a number of propositions there with several brands. And while maybe to give you an interesting fact, while in volume contribution in the first six months, energy is just less than 2% in our total volume. In revenue terms, it's more than double contribution because it's 5% of our revenues. And that tells you that revenue per case for this category is excellent. And I'm very pleased with our team's capability to be able to execute this category because it's not just walk in the park. And I'm very pleased that and I think that, that's a result that our capability and execution behind this category is what is driving results on top of very relevant marketing propositions that each brand has. So with that, I'll hand over to Michalis and then, Stephan [ph], if anything, I have not answered, I'll be happy to do that. Michalis?
Michalis Imellos: Yes, just to build on Zoran's point, indeed, August can be a good month, particularly considering that we are cycling a particularly weak August last year because of weather. So that is a strong tailwind for this year. Having said that, September last year was fairly strong. So on balance, it's -- we need to see how quarter three can fare. And I wouldn't capitalize that it is a given that we will see potentially such sequential improvement that quarter three will be in positive territory. When it comes to the full year consensus, right now, if I look at total revenue on a currency-neutral basis, consensus is for the full year is 9.2% decline. We feel that it's under sort of a base scenario for things progressing the way that most people see right now. It can be a fair assessment of potentially where we can be. So we feel comfortable with that. Obviously, looking at the bottom line and looking at the performance of the first half already from now, one can see that there may be some room to improve further the consensus. And maybe if I turn over to Zoran about your last question on the trial and repeat on the portfolio.
Zoran Bogdanovic: Yes. I don't know, Stephan, did you mean more on some of the innovations? But I can say that we see even in some things that we're not new this year. I would highlight, let's say, adults is something where -- which we are strategically pushing and developing where we see that trial and repeat is increasing as well as penetration to households and consumers, and that's driving strong results. Just to illustrate, in Russia, for example, adults even in Q2 performed with plus 8%. In July, we were plus 50% in adults. And that's trading at the premium price versus Coke. So that's example of the existing portfolio within sparkling that we feel very passionate about and for which we see lots of potential for the future. Also, we see that -- I did mention energy, which continuously is having more and more trial repurchase. But even it is encouraging to see that in countries where this year, we launched new performance water, Aquarius, we've seen very encouraging results with trial and repeat purchase. So that's been very, very encouraging. So this is just to name, let's say, three examples.
Unidentified Analyst: Great. Thank you. Can I just have one follow-up, considering what you said on the -- if we assume some sort of a recovery on the top line for H2 and you realize 60% of the cost savings already for the -- basically, how you're attacking the fixed cost base of €100 million, so 60% realized in H1. And most of the marketing events probably still being canceled or not happening for H2, exporting events and other things, would it be fair to think that you might see some really good top line recovery in H2, without being able to actually spend behind marketing and that would somehow make your margin optically look really good for H2? Just how to think about those moving parts and your capacity to spend in H2, and how has that curtailed with COVID-19, in front of top line recovery? Thank you.
Zoran Bogdanovic: Michalis, do you want to start?
Michalis Imellos: Yeah. Just to say there are Stefan, there are a lot of moving parts in the second half to really prescribe right now the balance between the marketing spend and the top line. We are starting cautious with the marketing spend. We are more, let's say, focused on where exactly to best spend the money, whether it is soft floor activities, promotions or more classic, above-the-line kind of activities. So what is important is to remain very flexible, as things are progressing with the pandemic. And we see how also the market and the demand, is reacting to be quick to adjust our plans in order to capture the potential opportunities that are coming. So too early to really call the balance right now between the marketing spend and the top line.
Unidentified Analyst: Thank you, guys.
Operator: Thank you.
Michalis Imellos: Thank you, Stefan. Operator: The next question comes from the line of Osman Memisoglu from Ambrosia Capital. Please go ahead.
Osman Memisoglu: Hello. Many thanks for your time. Just a quick question on your CapEx plans. You have announced earlier, that you're lowering CapEx, particularly on the cooler side. How has that thinking changed, if at all, with obviously relatively improving trends in your top line? And if you could also please share your observations regarding, the behavior of competition in terms of what they're doing on the CapEx front? Thank you.
Michalis Imellos: Yeah. Hi. Osman let me take the coolers question. And then maybe Zoran, can take the competition one. So it's -- with regard to the coolers, I would say that our decision to curtail CapEx this year. And of course, to a large extent, this applies to coolers as well, is more of a decision to defer rather than to cut permanently the, spend. Simply going in line with also what happens in the market, obviously, with the lockdowns, with out-of-home channel being affected the way it was by the closures and the pandemic, it would not be wise for us to continue on an accelerated pace, in terms of cooler placements. So as we see our markets recovering as and when this happens, we are going to obviously be there and make sure that we make the appropriate cooler placements to ensure that we capture all the opportunities we think is serving the business.
Osman Memisoglu: Okay. And competition is, I guess, doing something similar, I'm guessing.
Michalis Imellos: I would say, yes, Zoran?
Zoran Bogdanovic: Yeah. Well, yeah, to some degree, there are various things. I think we've been anyway, the strongest investor even before COVID. And in spite of the fact that we have cut back, certain portion. Still what has remained is not small. And I would just like to highlight also, because we knew when we made this decision that we will not be able to read precisely, how every one of the markets will perform. That's why our central commercial team has also secured that there is like a buffer quantity that then gets redeployed to countries based on the reading and the need and competitive situation. And I'm very pleased because of that. And that's kind of, I think, a wise and agile way of planning based on the reading that we are doing, so that we have a fast reaction. And on top of that, we do have our strategic -- there is also our strategic supplier with whom we have a very tight collaboration. So if need be I think our reaction time is quite good in that area. But that's a good question, because investments in cooling equipment are critical part of the whole game plan that we have.
Osman Memisoglu: Yes. So no long-term impact, right, sort of barge in...
Zoran Bogdanovic: No.
Osman Memisoglu: No. Okay. Nothing from COVID or anything, okay. That was very helpful.
Zoran Bogdanovic: Thank you, Osman.
Operator: Thank you. That was our last question for today. So I'll hand the call back to our speakers to, conclude today's conference. Thank you.
Zoran Bogdanovic: Well, thank you all for your time and attention today. I mean, let me just highlight that, we are managing through this crisis with determination, focus and flexibility. And we have our sight fixed firmly on the opportunities that are appearing. We are adapting to the new reality. And we have the capabilities, people and culture to do that. We intend to win in our high potential industry and to grow with our customers as the leading, 24/7 beverage partner. I strongly believe that, Coca-Cola Hellenic will emerge even stronger and smarter from this crisis, able to leverage our scale to capture the growth opportunities ahead. Let me extend my good wishes to you and your families. And all of us at Coca-Cola HBC sincerely hope you stay safe and well. We look forward to speaking to you all again soon. Thank you. Bye-bye.